Operator: Welcome to ViaSat's FY 2014 Third Quarter Earnings Conference Call. Your host for today's call is Mark Dankberg, Chairman and CEO. You may proceed, Mr. Dankberg.
Mark D. Dankberg: Okay, thanks. Good afternoon, everybody, and welcome to our earnings conference call for our third quarter of fiscal year 2014. So I'm Mark Dankberg, Chairman and CEO. And I've got with me Rick Baldridge; our President and Chief Operating Officer; Bruce Dirks, our Chief Financial Officer; Shawn Duffy, our Chief Accounting Officer; and Keven Lippert, our General Counsel. Before we start, Keven will provide our Safe Harbor disclosure.
Keven K. Lippert: Thanks, Mark. As you know, this discussion will contain forward-looking statements. This is simply a reminder that factors could cause actual results to differ materially. Additional information concerning these factors is contained in our SEC filings, including our most recent reports of Form 10-K and Form 10-Q. Copies are available from the SEC or from the website. I'll turn it back to you, Mark.
Mark D. Dankberg: Thanks, Keven. So we'll be referring to slides that are available over the web, and I'll start with some highlights on top of the business overview. And then as usual, Shawn will discuss the financial results in more detail, and then I'll provide more depth on each of our business segments. Finally, I'll summarize our outlook, and then we'll take questions. So overall, our third quarter of fiscal year '14 was another strong period for us. We had double-digit gains in both revenues and adjusted EBITDA, which were up 16% and 17%, respectively, year-over-year. On a year-to-date basis, our results were even better, with revenue and adjusted EBITDA gains of 24% and 34%, respectively. Orders for the quarter were $327 million, which is up 23% year-over-year. As we compete in bigger and bigger markets, we expect to continue to see a significant amount of lumpiness in our awards. Consumer broadband continues to be our fastest-growing business, and we continue to benefit from the effects of cumulative subscriber growth. We added about 29,000 net new subs in the December quarter. We'll go into more detail on this later, but some of the factors influencing subscriber additions included our efforts at improving churn and improving SAC economics and the dynamics associated with our direct-to-home satellite TV partners. Probably the most important event for us in the quarter was JetBlue's launch in mid-December of its Wi-Fi -- in-flight Wi-Fi service, which is built on our Exede in the Air in-flight Wi-Fi. It's received fantastic reviews and there was a correspondingly instant step change in the number of passengers that engage with in-flight Wi-Fi. It's good -- so good to take a little while to sort it out, but we think that having a Wi-Fi system with high passenger usage compared to the single-digit percentages of the competing offerings in the market is going to be a game changer. We think it's simply not possible for any of the other existing in-flight Wi-Fi players to reduce -- reproduce that type of market facing effect without having the kind of satellites and network infrastructure that we have. It's also a great example of how the ViaSat-2 satellite, through its even better bandwidth economics and very large coverage area, will extend our technology advantage even further. It's exactly the kind of effect we aim to achieve when we invest in new technology and intellectual property. One of the points you'll see in our call is that we've achieved really strong adjusted EBITDA growth despite having over $30 million so far year-to-date increases in our discretionary R&D and IP legal costs that are aimed at defending and extending our advantages. We think obtaining the same kind of early market feedback in the in-flight Wi-Fi space that we have in other markets is a good sign that we're on the right track to sustain our growth. I'll go into more detail on these 2 segments later. And with that, I'll turn it over to Shawn for an overview of the financials.
Shawn Lynn Duffy: Thanks, Mark. Our fiscal 2014 third quarter performance remains strong. Our quarterly revenue growth to $333 million was achieved by continued gains in our Satellite Services segment combined with growth in our Commercial segment as we hit the heavier system integration and installation stages of our large infrastructure programs. Our fiscal third quarter adjusted EBITDA of $57 million also pushed to a new record level, demonstrating our overall growth and sequential improvement in operating margins. For the 9-month period, we pushed over the $1 billion mark in revenue, which is a 24% increase from the prior period. The drivers were pretty consistent to those in our third quarter, with our Satellite Services again posting strong revenue gains, followed by Commercial Networks and Government Systems. Our fiscal 2014 year-to-date adjusted EBITDA also grew sharply to $164 million, representing a 34% year-over-year increase. So our revenues and adjusted EBITDA continued to reflect the escalating strength for our Exede service offerings and strong government contributions despite nearly doubling our R&D investments as we advanced high-capacity Ka-band technologies. Moving to our P&L as a whole. From a top-down perspective, our third quarter revenues were relatively in line with our expectations. Year-over-year service revenues were up 14% with our growing Exede subscriber base, offset somewhat by reduced Government segment service revenues as we completed performance under a satellite service bandwidth contract for Blue Force Tracking. Our product revenues also continue to grow, up 18% from the same period last year. As we look forward, the opportunities across our business continue to be well aligned with the areas we are in, including within our core government systems, product and mobility service platforms. Mobile broadband and high-capacity satellite solutions continue to be a combination worth noting. Now that we are officially in commercial service on JetBlue, which Mark will talk about more a bit later, future quarters will start to include these additional revenues in the Satellite Services segment, creating further diversification of our Ka-band service revenues. As we turn to the rest of the P&L, our cost of revenues as a percent of revenues was down slightly from the prior period, represent overall gross margin improvement. Regarding SG&A, an element worth noting is our increased legal activity centered on defending intellectual property underlying our Ka-band technology. Although our investments in this area have more than doubled, year-over-year, our overall SG&A as a percent of revenues was down slightly, showing the strength of our core financial performance. Our R&D spending also increased consistent with the trends we have previously discussed. So taking all of these changes into account, our income from operations was still up slightly from last year's results during the same period. Looking at net interest expense, Q3 expense was down $1.5 million year-over-year as our interest capitalization grows alongside our ViaSat-2 construction spend. We should continue to see quarter-over-quarter decreases in interest expense as capitalization effects compound with investments in ViaSat-2 even as our credit facility borrowings increase. Turning to taxes. Our third quarter results reflect an income tax benefit of $1.7 million compared to a benefit of $15.3 million recorded last year. This tax benefit decrease is a direct result of our continued reduction in pretax losses and on a year-over-year basis, reflects the nonrecurring tax effect of the debt extinguishment charge recorded in Q3 last year. As we look out, note that the federal R&D tax credit legislation has once again expired. So although our FY '14 effective rate includes 3 quarters of federal R&D credits, future years will not necessarily reflect these benefits if the current legislation remains unchanged. So overall, our fiscal 2014 Q3 generated pro forma net income that was about flat to the same period last year. Our year-to-date cash flow from operations was $135 million, an increase of $86 million compared to this time last year. Higher adjusted EBIT and tight working capital management were the key contributors to this dramatic increase. Our capital expenditures also continued to grow, doubling the first 9 months versus the last period last year. Clearly, the largest portion of this growth is related to ViaSat-2. With payments totaling about $94 million year-to-date. Another important notable is the continued reduction in capitalized SAC, which is comprised of CPE and installation costs. Although the cash timing for our CPE equipment can move quarter to quarter, overall, we are seeing a trend of decreasing cash unit cost as our equipment base reaches a higher level of sustainability. We ended the quarter with $41 million in cash and only $85 million drawn on the credit facility. And speaking of the credit facility, last November, in concert with our existing lender syndicate, we replaced our $325 million credit facility with a new $500 million credit facility. In addition to the additional liquidity we achieved other important benefits, including lower interest margins and improved covenant package and a restart to the 5-year term. All of it will provide for greater flexibility as we grow our international footprint. Before Mark gets into some of the business area highlights, I wanted to give a quick segment financial overview. As we noted, overall revenues were up 16%, while Satellite Services and Commercial Networks saw a strong revenue growth, while our Government Systems revenues were slightly down this quarter due to the completion of bandwidth server contract for Blue Force Tracking. Year-to-date, Government segment revenues were up though, as were Government segment year-on-year orders for Q3. So overall, we're happy with where we ended up and our long-term growth prospects for the Government segment. Adjusted EBITDA was up 17% year-over-year with very strong growth in Satellite Services. Commercial Networks adjusted EBITDA was flat primarily due to R&D investments, and Government Systems adjusted EBITDA was slightly lower due to a combination of the completed BFT contract and higher R&D investments. So with that, I'll turn it back over to Mark.
Mark D. Dankberg: Okay. Thanks, Shawn. So I'll start with our Satellite Services segment. And as Shawn mentioned, we've seen nice growth and robust margin improvement in our Satellite Services segment. Year-over-year, revenues were up 37% and adjusted EBITDA was up almost 110%. Adjusted EBITDA would have been even higher if not for the significant investments in intellectual property protection and legal expenses we've been incurring as we get closer to our trial date. During our third quarter, we worked a balanced subscriber growth with subscriber acquisition process improvements. So, at 79,000 gross adds we're down a little from the second quarter. About half of the decrease is just an artifact of our accounting calendar which has more days in our second fiscal quarter than in the third. A significant amount of the rest was due to filtering efforts to pinpoint and correct sales process issues associated with the elevated churn. There are also some quarter-to-quarter fluctuations associated with how our satellite TV distribution partners managed orders among their broadband suppliers. Migrations continued a downward trend, with just over 6,000 migrations for the period. Last quarter, we talked about the recent increase in churn associated with certain subscriber acquisition channels. Our analysis led to specific process improvements which we began implementing last quarter. And as a result, in the third quarter, we saw the adverse churn trend reverse itself and churn decreased slightly from the second quarter. The impact of these efforts, along with some additional improvements in the current quarter, should continue to grow over future periods. Cumulatively, now after not quite 2 years, we're closing in on 0.5 million of our subscribers on the ViaSat-1 satellite, which is pretty well past the halfway point envisioned for total fixed consumer subscribers when we take into account our progress in the Commercial and Government aero markets and the bandwidth provisioning that we expect from broadband. So that's actually a good thing since the mobile broadband market, in general, is an even more valuable use of our network resources. So just for instance, we could approximate that mobile broadband commitments in total today could represent roughly the equivalent of about 50,000 new net adds over about the next year or so. So we want to put that in the context of our fundamental strategic objective, which all along has been to grow the market for satellite broadband into the underserved market, which we believe is much bigger than just the unserved. We aim to establish a market position that builds on a positive customer experience of our service relative to both terrestrial and satellite competition and to have our service keep pace with user expectations and competing technologies. So we want to use our remaining capacity to continue learning about both the market and honing our operational skills in advance for the arrival of ViaSat-2. We feel we're making good progress on that front. We continue to refine our marketing and distribution through a rifle shot instead of shotgun tactics and that's yielding lower incremental retail acquisition costs. Our voice-over-IP service creates bundling opportunities that help us grow ARPU through greater value delivery to customers. Our CPE improvements and cost reductions are also contributing to overall subscriber acquisition cost improvements. Operational and technology improvements are reducing costs and combined with significant investments in data analytics, are getting us better insights into how to market our service more broadly and expand the satellite broadband market. The last graphic on this chart highlights one of the cool things we've been able to measure about our streaming video performance. There's been a lot of recent discussion about both the technical and business factors that can undermine the video streaming experience even on cable and fiber high-speed broadband networks. Sandvine published a really good comprehensive report on this topic last fall. So while our bandwidth usage caps currently do limit the amount of video streaming relative to the market as a whole, we have data showing that the streaming speeds that we deliver are among the best of any broadband ISP. That's an example of a really good market factoid that we believe can help us grow our addressable market. We believe the bandwidth benefits of ViaSat-2 combined with other technical improvements we're making to our ground network will allow our customers many more hours of streaming video entertainment, with performance among the best of any ISP. Video streaming performance is a key quality measure for any broadband network. So next, I'll talk about our in-flight Wi-Fi. We launched our Exede in the Air service on December 12 with our launch partner, JetBlue, who named their version Fly-Fi. The inaugural flight had over 60 journalists and industry stakeholders who stressed the service about as much as one could imagine. Our objective is to disrupt the in-flight connectivity industry in the true Clayton Christensen sense of the word by introducing a new highly impactful measure of performance, which is market adoption by passengers. Fly-Fi got off to a great start, with journalists and bloggers doing live streaming interviews, running multiple simultaneous sessions of streaming video while still measuring download speeds over 20 megabits a second. Several reviewers suggest what we intended and that is the best, fastest Internet in the sky, blowing away everything else. JetBlue currently has 12 Fly-Fi equipped aircraft and has planned an installation rate of around 15 a month that would equip their fleet within a little bit over a year. Service quality remains high in JetBlue's free Simply Surf package, which offers capability and speeds that we believe are better than any existing paid service, means that passenger adoption has jumped substantially compared to any other in-flight connectivity service. That's true even while only a small fraction of JetBlue's aircraft are currently enabled, meaning promotion is relatively low and most passengers don't even know if their flight will have this service. We believe that driving high levels of passenger engagement as much as 10X out of competing systems on long-haul flights is going to be the real key to growth in the global in-flight connectivity market. I want to contrast that with a more conventional view of airborne Wi-Fi. Other service providers mostly measure market share just by the number of aircraft that they have, not the number of actual users. Bandwidth, for most other systems, are so constrained or so costly that high retail pricing is needed to limit the number of users per flight. Otherwise, connection speeds could be pretty much unusable. Exede in the Air is unique in that it leverages a consumer network that's designed to deliver over 12 megabits a second download speed to 1 million users on the ground. For us to serve thousands or even tens of thousands of simultaneous airborne users represents only a small fraction of our total available bandwidth. We don't think any of the existing ground or satellite-based networks, even those using planned Ka- or Ku-band spot beam satellites that won't even be in service for a few more years, can replicate a comfortable user experience at comparable scale, at comparable unit cost. And with ViaSat-2, we'll be able to expand our coverage to parts of Latin America, the Caribbean and the air routes across the Atlantic to Europe, all with even better economics. We think almost all of the impactful Internet services have grown by starting with high rates of adoption and user engagement and if scaled even further through convenient access on mobile devices. There are little or no examples of services that are scaled by limiting usage through high pricing. High levels of user engagement enable powerful entertainments, sponsorship and promotional opportunities that are simply not in play with single-digit percents of passenger engagement. Exede in the Air is unique in that it can draw in passengers not by walled gardens of flight tracking, weather and shopping, but by enabling each passenger's own unique connections for email, messaging, web and mobile apps. It's a totally different approach to in-flight connectivity but we believe it's a powerful one. Fundamentally, it'll be successful only to the extent that it yields economic benefits to the host airlines that embraced and adopted. We're excited by our partnership with JetBlue. We can't yet be sure if their free experiment will yield all the data it takes to validate those economic benefits. But yesterday, JetBlue won an award from the Air Transport World as the 2014 Airline Technology Leader of the Year because of Fly-Fi, even though it's only in a fraction of their fleet. So we believe we're off to good start, and we and JetBlue are already working with a number of exciting potential partners that see a world of possibilities that didn't exist before Fly-Fi was launched. One way or another, we think the Exede in the Air concept will lead to a total unique value proposition and an opportunity for disproportionately high growth in the in-flight connectivity market. Our Commercial Networks segment recorded revenues of $92 million for the quarter. That's up 34% from the prior period. Essentially, all of the revenue increase was from products with strong sales of consumer broadband terminals, Ka-band infrastructure, products and in-flight mobile broadband systems and ground antenna systems. The NBN Co satellite network in Australia, probably the most ambitious satellite broadband project being deployed today, is entering the network infrastructure deployment phase. We're excited to see the first network gateway sites installed, as shown in this picture. We're also now in full production for our in-flight connectivity systems for JetBlue and United Airlines. The real world performance for JetBlue is already starting to create more opportunities for us with both domestic and international airlines. Although gross margins were down slightly year-over-year, operating profit was primarily impacted by higher R&D expenses of over $5 million, as well as higher SG&A costs. We've previously discussed that these R&D expenses are focused on delivering next-generation network technologies and extending our overall technology leadership role in high-capacity satellite systems and networks through ViaSat-2 and then beyond. Awards for the period were $65 million, an increase of 41% year-over-year and in line with average awards over the prior 4 quarters. Increasingly, we expect that awards in this segment will be kind of lumpy as we compete for more fully integrated Space System contracts. We believe our success in introducing leading-edge type technology into the markets, such as those enabled by ViaSat-1 and those that can be enabled by ViaSat-2, are increasing our exposure to these types of large integrated Space Systems opportunities. We also think that a strong intellectual property position is a key factor in capturing the value created by our integrated spacing ground technology innovations. Our Government business has shown striking and consistent although a little bit lumpy growth in revenues and earnings for the last couple of years. Aggregate growth has been led by mobile broadband but reflects a constantly evolving mix driven by macro factors and product life cycles and defense budget funding gigs. This quarter, Government Systems revenue was down slightly sequentially and year-over-year. We saw a good growth in product revenue from our Information Assurance and tactical data links products, which mostly, but not quite totally, offset a decrease due to completion of a bandwidth services contract associated with initial deployments of our Blue Force Tracking product that Shawn mentioned before. Overall, gross margins were down slightly due to mix. Adjusted EBITDA declined $4 million year-over-year from a combination of a much higher R&D investment, increased SG&A and the lower gross margins. Sequentially, adjusted EBITDA was up by almost $4 million, about 14%. Government awards for the quarter were pretty strong at $163 million. That's a 10% increase year-over-year. Overall, we think the big picture view in our Government business is still really positive, and that will continue to grow revenues on a year-over-year basis. There are a few important macro factors that contribute to a growing sense of confidence that, we can say, sustained that growth. One fundamental one is that the Defense Department's pivot to the Pacific elevates the importance of many forms of resilient, high-bandwidth communication networks. For instance, we've won a number of contracts to update and expand the capabilities of Link 16 equipment in both the low-volume terminal and the MIDS JTRS variance. Link 16 continues to increase in importance as an element of tactical situation awareness and communications, and we see expanding market opportunities for that. We've also been winning more orders and new business in Information Assurance and have delivered more efficient utilization of key network resources. And as with our Commercial business, we're seeing fundamentally new and different opportunities to provide more fully integrated space and ground systems, especially those that leverage capabilities we've demonstrated in commercial markets. We've maintained a very, very high share of new deployments with mobile Aero broadband for the Government and are making good progress in migrating our early Ku-band customers to take Ka-band when that's available. And we've done a good job in making Ka-band available in more and more important geographic regions. An increasing number of our government customers appreciate the significance of the network capabilities we're deploying with JetBlue and United, for example, and the significance of the coverage footprint of ViaSat-2. We've also been more successful recently in demonstrating the unique resilience capabilities of our Space Systems designs and then more directly comparing them to organic government-owned assets. So overall, the new opportunities appear to more than offset reductions in some products and services associated with wind downs in the Middle East. For instance, Blue Force Tracking product deployments are likely to slow considerably from recent peaks. But the upshot is that we're sufficiently encouraged by our progress in the aggregate to increase our discretionary R&D investments in our Government business significantly. That includes both unique government products and investing in our commercial products to make them more accessible and useful to government customers. As with our Commercial business, and this includes more exposure to large integrated Space System contracts. So it's still hard for us to forecast success or timing of specific opportunities. But the number of opportunities that we're seeing, as well as our unique position in applying leading-edge commercial technology to our existing Government business space are key factors, in our view, to growth opportunities. So we thought that the exciting prospects that are created by our launch in the commercial in-flight communications market, combined with our strong revenue and EBITDA growth for fiscal year '14, even in the presence of over $30 million year-to-date growth in discretionary investments, makes for a good reason to consider our go-forward growth outlook from a long-term strategic perspective. So this chart shows our track record for the last 10 years in terms of revenue and EBITDA growth. Keep in mind that year-to-date in fiscal year '14, we've already equaled all of fiscal year '13's adjusted EBITDA and that $1 billion in year-to-date revenues were also poised for continued solid growth in revenue, too. Along the way, over the last 10 years, we've pioneered several important new markets, and we've repositioned the company to succeed in markets that are new to us. Growth, while steady over the long run, has been lumpy depending on the timing and uptake rates of those new offerings, including defense mobile broadband or ViaSat-1 consumer Internet. We've made some acquisitions on the way, especially to gain key technologies or to jump-start market access, but most of the growth has been essentially organic and post -- or -- and/or post acquisition. So as we get ready to start our fiscal year '15, we think we're well positioned to sustain our record of profitable growth. We've grown revenue every and the only one-time downturn in adjusted EBITDA was the result of undertaking fixed costs associated with our ViaSat-1 network expansion. It's hard to forecast to the sequence of events and timing for specific opportunities, and some of them may take a little time to develop. In the near term, we believe growth will be led by consumer broadband services, deployment of backlog in our commercial network products and services and continued growth in pretty much all of our defense businesses, except for Blue Force Tracking. We see good growth opportunities in mobile broadband, especially Aero. That would largely be catalyzed by a change in the commercial business models enabled by much higher user engagement and penetration. Government mobile broadband has good upside potential, driven by adoption by a growing number of conventional defense aircraft compared to just the early adaptors, special users that we started with. Longer term, we're looking on making important strides in integrated space ground network systems for both commercial and government markets with some interesting new targets that might become evident later this calendar year. In summary, based on our last 10 years, we feel like we know what growth opportunities look and feel like, and we think the results we've achieved with ViaSat-1 and the coming impacts of ViaSat-2 are creating more growth opportunities than we've ever had before, pretty much across the board in Government, Commercial and Satellite Services, and that should make for some pretty exciting times. So that concludes our prepared remarks. And now, we'll open it up for questions.
Operator: [Operator Instructions] Our first question comes from Yair Reiner with Oppenheimer.
William Lee - Oppenheimer & Co. Inc., Research Division: This is William Lee for Yair. Just on the Wi-Fi, can you talk about the prospects of using leased bandwidth for in-flight Wi-Fi outside the U.S.? And can you perhaps give us some sense of timing of when we could see potential new awards outside of the U.S.?
Mark D. Dankberg: Okay. So the main places that we're looking to expand outside the U.S. are places where there is Ka-band or will be Ka-band and where those satellites are already using our network infrastructure. So it's a pretty straightforward upgrade of that network infrastructures to support in-flight Wi-Fi. And that would be either for airlines that we have that roam into other markets or for airlines that originate in those markets. Obviously, the most obvious example that would be with Eutelsat, using their KA-SAT in Europe. And I'm not sure that we've announced it yet, but we do already have one airline that will be using our network infrastructure and airborne terminals for that. We think in terms of expansion, I'd say that once the JetBlue service went into service, the rate of new opportunities has increased pretty dramatically. But it's a little hard to tell what the timing will be for those new awards.
William Lee - Oppenheimer & Co. Inc., Research Division: Great, great. And then in terms of the 50,000 equivalent net adds that you mentioned over the next year or so, is that based on JetBlue and Continental or are there other unannounced or undisclosed wins or prospects that are baked into the 50,000 number?
Mark D. Dankberg: No, that would be based pretty much on JetBlue and United.
Operator: And our next question is from Amy Yong with Macquarie.
Amy Yong - Macquarie Research: I was just wondering if you could elaborate a little bit about the competitive landscape between you and Hughes. And I think in your earlier comments, you talked about your suppliers, and I'm guessing DIRECTV and DISH. So could you just provide a little bit color -- more color around where the net adds came from and whether or not DISH is a much more welcome partner than DIRECTV or vice versa given their relationship with EchoStar?
Mark D. Dankberg: Let's see. So this -- I don't think there's been big shifts in the split among the different sources of subscribers, among both retail and the -- between retail and wholesale. And we're really happy to have both DISH and DIRECTV. And we don't -- haven't seen any or described any sudden movements in either of them over the last few quarters and don't really expect any over the next few quarters.
Amy Yong - Macquarie Research: Great. And then my second question is, can you give us a better sense for what normalized margins should look like in your satellite -- in the consumer broadband business?
Shawn Lynn Duffy: Yes. I think what we've talked about a little bit before is that incremental margins that -- from an EBITDA perspective, that you can see as we grow additional subs. So I think we talked about in the past the incremental EBITDA margins, about 70%. And as we continue to sell to subscribers, I think we'll continue to see those benefits. However, it does get impacted by the timing and quarter gross adds that we have and any additional subscriber acquisition cost that we get in that upfront quarter.
Mark D. Dankberg: Yes. Basically, you'd see somewhere -- I think in the past, we've talked on the range of 60% to 70% of incremental revenue flowing to EBITDA. But you also have to take into account quarterly variance in advertising and promotion costs. But generally, over a long period of time, I think that's been the case.
Operator: Our next question is from Matt Robison with Wunderlich Securities.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: I was wondering if you could tell us what the Satellite Service revenue component was for nonresidential.
Mark D. Dankberg: It's pretty de minimis now because we just went into service. I mean, there are a couple of minor things, but I think you'll see that start to increase as the aero -- as airplanes get brought into service. And just to keep things in perspective, one of the sort of metrics that we talked about in the past is we thought it would be pretty good if we were at about 10% nonconsumer by the time ViaSat-2 launched. And we think we're well on the way to achieving that based on what's happened so far.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. Let me ask you the question a little bit different direction. What was for ARPU for Exede?
Mark D. Dankberg: We didn't break out ARPU specifically this quarter, but it's in line with what things have been in the past. We see -- overall, we see a general increasing trend in ARPU. It's -- and it's -- if you look at over the last few periods, you can see that was -- it's still growing, but it's starting to moderate, and I'd say you can sort of extrapolate from there.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. So it sounds like there was maybe a small single-digit million dollars worth of revenue for Satellite Services that didn't come from residential. Is that a good way to look at it?
Shawn Lynn Duffy: Yes. I think, not to put around the specific number. But for folks to keep in mind, we've also had and historically have reported in the Satellite Service number, the additional Satellite Services from ability that we get on our Yonder network as well, which comes from the maritime business that we have, so...
Mark D. Dankberg: And business jets.
Shawn Lynn Duffy: Exactly.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Yes, that was my point, because in the past, it's been like $5 million to $7 million a quarter. And I was just trying to...
Mark D. Dankberg: Actually, that's not going -- yes, that's not going down. We think we'll start to augment that stuff.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Yes. Okay. And can you give us a little bit more on economics for the in-flight? It's been a challenge to try to figure out how to model that. And so now that you're in service, I thought maybe you could give us some better sense for it.
Mark D. Dankberg: Okay. So we were -- we want to be a little bit careful. I think it's an evolving process. And one of them -- one of the factors in here is understanding what the various sources of revenue will be and how they'll be -- how value will be allocated in the ways that we work with our airline partners. And we're exploring different deals with different approaches with different airlines. Right now, for instance, due to the in-flight Wi-Fi market, pretty much all of the revenue, very large fraction of the revenue for connectivity, setting aside in-flight entertainment or video, the connectivity is really driven by passenger payments and not a lot of passengers participate. So one of the things we're looking to find out is -- as what JetBlue is the value of the airline, if they pay a small amount of money on a per-passenger basis to get usage way, way up, can they benefit from that. So that's one example. And then sort of what we alluded to is that if you've got a whole bunch of passengers on airplanes that are using the service, that gets the interest of a bunch of other Internet partners who may bring revenue in different forms than what's been available in a material way in the past. So those are -- that's one way to look at it. The other way to look at it is, when we think about how this impinges on our consumer business, we have limited amounts of bandwidth, and bandwidth is sort of the resource -- that's a scarce resource that governs how many people we can have. So when we think about it, what we want to do is make sure that whatever bandwidth we deploy to the Aero business is, in some way, carrying its weight, at least carrying its weight. And we think that's a -- it's a little more -- it's a lot more difficult place to bring connectivity so we think it's more valuable there. So that's kind of the -- why we mentioned it in this context of equivalent subscribers. And one way to look at it -- and this is really rough because it depends on the arrangements that we have. As you might think of like getting an airplane being like on the order of 100 subscribers, retail subscribers or blended subscribers, think of it as like 100 blended subscribers, and 100 is like order of magnitude. I mean, it's not 10 and it's not 1,000, it's in that ballpark. And what we think is, overall, I think there's opportunities to evolve that, but that's sort of where we are.
Operator: Our next question is from Rich Valera with Needham & Company.
Richard Valera - Needham & Company, LLC, Research Division: I guess I'm trying to understand why the Satellite Service revenue line went down sequentially? That's the first time in certainly a long time. It sounds like ARPU was flattish or so. You clearly added net subscribers. And it didn't sound like the kind of other component, the Yonder component, was materially different. So I'm just trying to understand why that would go down if you, in fact, were adding net subscribers.
Shawn Lynn Duffy: Rich, this is Shawn. So the primary driver to keep in mind there is that our second quarter have the additional week within that fiscal period versus our Q3 quarter. So if you look at it from a quarter-over-quarter run rate, that's the biggest driver that pulled the revenues to where they are.
Richard Valera - Needham & Company, LLC, Research Division: Well, I guess, still on a -- if you kept ARPU flat and you added 30,000 net subs and average that over a quarter, you would still expect it to be up as opposed to flat or whatever, if you adjust for the one quarter. Is that still a reasonable assumption? I mean, we should still model this kind of increasing, I would think, every quarter aside from that sort of one anomaly there.
Shawn Lynn Duffy: Absolutely. I think that the quarter-to-quarter revenue performance is just skewed overall from Q2 to Q3 because of the extra week. But I think if you're looking out, the trends in the growth have been pretty in line to where we've been but at an increasing rate as the sub base grows.
Richard Valera - Needham & Company, LLC, Research Division: Okay, that's helpful. And then I just wanted to try to follow-up on some, Mark, your prepared remarks about the -- I guess, just sort of referring to the gross installs which indirectly -- or directly really affect your net adds. And you did make some reference to some shifts in your partners, I presume, again, DIRECTV and DISH. So just wanted to -- wonder how should we be thinking about the kind of gross install number relative to this most recently completed quarter or the quarter before that. Were you up closer to 100,000? Any sense of how we should be thinking about that number? And then obviously, we have to make some assumptions about sort of churn but just trying to understand if there was any sort of usual dynamics in this quarter, if you expect things to maybe swing back your way in a subsequent quarter as they adjust their allocations, as it were, between you and Hughes?
Mark D. Dankberg: Yes. I would say we pretty much touched on all the factors, but they combine in different ways in different quarters. So I would say they weren't -- we had a couple of quarters where, for one reason or another, DISH gave us a greater portion, and I think they migrated more towards use. I think the DIRECTV thing goes back and forth a little bit. It really depends on sort of what the exact process mechanisms are on each of their sides for applicating [ph] among their 2 suppliers. And then the other thing is how we're doing on our own and then also, there are some processes that we overlay on both our -- on all of our retail channels that have to do with this issue, some of the issues around churn. And I think we've gotten a lot more granular in being able to dissect the sources of churn, and so we're introducing some process changes in them. And there's, I would say, a little bit of an element of retrenchment to basically be able to really analytically discern what the effects were of the process changes that we made and go back and validate them, and we think that step's working. So I think those would be -- those are the factors. I don't think there's anything dramatic, and I think you'll see -- I don't think you should -- well, I will say -- the only other thing I would say is this point that where we're pretty much a little more than halfway through filling up with our expected subscriber base on ViaSat-1. And so I think one of the things you will see going forward, which will be a factor for both us and Hughes, is that you'll have this extra dimension that as beams become more full, there will be strategic decisions about whether to keep filling them, overfill them, which we don't really tend to do, or that in itself will begin to have some impact on the way the orders are fulfilled by the satellite TV companies. So that will be another layer of sort of moving parts in figuring out what it will be quarter-to-quarter.
Richard Valera - Needham & Company, LLC, Research Division: I'm guessing you're not going to want to give too much granularity on this, but you added about 30k subs, which was certainly lighter than I think most were expecting and lighter than most for modeling. And I'm just wondering if you're willing to give any sort of thoughts on, maybe directionally, where you see kind of a "normal" level of sub adds. I think most people thought it was sort of 40k or so or more. Now we're at 30k, do we think this as kind of the new normal level or do we think there might be some sort of bounce back over some period of time, maybe, as you sort out this churn issue that you're working on?
Mark D. Dankberg: Yes. I wouldn't call it a new normal. I would say it's just sort of what it was based on the combination of factors that we talked about for the quarter. I think they're -- as we get -- or as we basically understand these process improvements, we'll probably be a little more aggressive in adding subscribers. Then the other thing is that one of the things that we do -- and I mentioned this rifle shot stuff, and I don't -- I think one of the things that's worthwhile for people to do is try to look in more detail at not just what the numbers are, but what the unit economics are around them. We're pretty focused on that. We've talked about that over and over in the 2 years that we've been doing the ViaSat-1 business. And so one of the ways that we test to see how effective the things are that we're doing is we have to start doing some things, stop doing other things and compare them. And so you're seeing some of that as well because we've introduced some new promotional approaches which we're actually pretty happy with. And so you'll see those things take -- come into effect as well. So I wouldn't call this a new normal. I think the March quarter is typically slower than the December quarter. So we've got that factor as well. But overall, so I think that you're going to see fluctuations depending on all these factors.
Richard Valera - Needham & Company, LLC, Research Division: Okay, that's helpful. And just one more, if I could. At our conference, I think Bruce talked about that you're working maybe on some type of caching technology to help deal with the bandwidth caps that you guys have to -- should enforce on your subscribers. Can -- anything you can shed light on there with respect to any types of caching or what you might be doing to try to help facilitate more bandwidth usage by your customers?
Mark D. Dankberg: No, I'm not going to be -- I don't think we're going to more technical detail. I think the gist of it is that -- one thing we understood is that live real time streaming performance does 2 things. One is it's a big part of what subscribers like. So to the extent that you're good at it, that tilts things your way. On the other hand, it also consumes a lot of bandwidth, which is what leads to congestion and slower responses. So what I describe is we have a number of technologies that are both ground- and space-based that we think is going to let us make big improvements over the next couple of years or so in the amount of live streaming that we can do. And the point of that other discussion about the Sandvine report and Netflix and YouTube measurements is that what we think is, when we implement those, we'll get a good combination of good quality experience, high average streaming speeds and a lot more volume. And technically, we're not going to talk more about how we're going to go about that.
Rick Baldridge: Okay. I would just add, Mark, to describe it as caching would be the wrong description. There's a lot of technologies being employed. So I think that's probably the wrong description, Rich.
Mark D. Dankberg: A little bit of an oversimplification.
Operator: And our next question is from Mike Crawford with B. Riley & Co.
Michael Crawford - B. Riley Caris, Research Division: You've given some good color on the JetBlue experience. Can you talk at all about what progress you're making with United Continental?
Mark D. Dankberg: Yes. Currently, United Continental is outfitting aircraft. I think they've been working on some of their own IT issues or sort of integration issues that are gating when they're putting to put the Ka-band equipment into service. Right now, the United Airlines, as we've talked about before, is a mix of our Ka-band service and the Ku-band service. And I think even one of their early concepts was to deploy the service in a way that the passengers really wouldn't be able to tell the difference between the 2 of them. So that -- so clearly, that would create a different experience and what JetBlue's getting with the same service. United, especially since they've seen the JetBlue service in action, is sort of more interested in understanding how they might evolve to something more like the JetBlue one, but we won't know the answer to that for probably -- for a few months.
Michael Crawford - B. Riley Caris, Research Division: And would it cost that carrier similar amount of time and investment to put in Exede system versus the Panasonic system?
Mark D. Dankberg: No, the -- you mean Exede versus Panasonic now? I think that the aircraft retrofit is pretty comparable. Actually, one of the things about -- it's a little bit complicated because one of the things that we're doing with United and the Continental fleet is we're installing the first batch of Ka-band on the aircraft that already have live TVs, DIRECTV system. So the install is very, very similar to that, which we're doing with JetBlue. I think one of the exciting things is we're also expanding with United beyond those fleet of aircraft as well which will be new installs. But I'll bet you that, that's still going to be really comparable to what it would be with the Ku-band system.
Michael Crawford - B. Riley Caris, Research Division: Okay. Switching gears to Government, well, a little bit. You've talked about development on integrating space ground systems for government and commercial markets. You also demonstrated running some encrypted traffic over ViaSat-1. What progress can we hope to see with the government in terms of them taking more bandwidth from ViaSat as well? Well, that's part one of the question. I'll give you part 2 in a second.
Mark D. Dankberg: Okay. So one thing that's actually pretty good is you've seen some press releases from Boeing over the last few months, and we've been working with Boeing on next-generation jam-resistant technologies. That sort of would be successors to things like their WGS satellite or the Advanced EHF satellites. And we've done tests over both our ViaSat-1 satellite and they've done tests over the government's own Wideband Global Satellite system. And I think that it's helping to raise the awareness of what the capabilities of these commercial systems are. Now how that translates into sort of government policy is -- or any action is still to be determined. It could end up being incremental or it could end up being, I'd say, much more substantial than that. And the good thing is that a much broader range of options is in play than it was even a few months ago. But it's hard -- it's really hard to tell how things are going to play out at this point.
Michael Crawford - B. Riley Caris, Research Division: So part 2 of the question is we know that these WGS and AEHF constellations were over budget, very small amounts of bandwidth and they also have a high terminal costs. And also, there's been some difficulty, I believe, in finding funding for all the terminals. When do you think ViaSat could be able to step in to provide one common terminal that would work not only on your satellites, but on these systems as well?
Mark D. Dankberg: Okay, that's a good question. We're already doing that, I would say. Not so much on the Advanced EHF, but on other government-owned satellites. We are doing that. And I think what that does is it increases the government's options for getting services. One of the notions that we've put forth in the government -- has been well received within the government is to think about their mobile terminals like you think of your mobile handheld device that -- what that terminal -- what that user really wants is he wants to be able to roam onto the best network that's available wherever he is. And sometimes, it's our satellites, sometimes it's our partner satellites, sometimes it's the government's own satellites, sometimes it might be more conventional commercial satellites. And what we've been showing them are terminals with networking capabilities that can do just that, and that's gotten a lot of interest. So that -- and that sort of fits the paradigm that you described in terms of using both ours and their assets.
Michael Crawford - B. Riley Caris, Research Division: Okay. And then final question relates to your efforts to jointly market ViaSat-2 architecture-type systems to others. Do you think that the big gating factor there is the fate of your first trial with Space Systems/Loral, which is starting on March 25?
Mark D. Dankberg: No. I think that there's only 2 different -- I'd say there's 2 different issues. One is we feel strongly about the intellectual property that we developed on ViaSat-1 and that's what the Loral trial's really about. We've also got new designs and new architectures for ViaSat-2, and we think that potential customers or partners are evaluating that just as on the merits of it as an alternative to any other satellite technology that's out there. And so we think those 2 things are not as directly connected as you suggested.
Operator: Our next question is from Tim Quillin with Stephens.
Timothy J. Quillin - Stephens Inc., Research Division: On the Blue Force Tracking program, how big of a headwind is that as it rolls off? And maybe you can talk about the outlook there, if there's any opportunity, follow-on opportunities. But I know -- I understand you expect long-term growth in government, but does the near-term ramp down of Blue Force Tracking make it a little difficult to grow over the next few quarters?
Mark D. Dankberg: Yes. So with Blue Force Tracking, and what's happened is we've deployed, I'd say, tens of thousands of units. They purchased over 100,000 units. And based on sort of the drawdown in Afghanistan and the pretty fair amount of uncertainty about the -- where they're going to deploy troops and you've got the sequestration effects and the sort of the overall Defense budget replanning that's associated with the Pacific and sort of the nature of what threats are, that it's -- I'd say, it sort of just slowed down the rate of absorption of the Blue Force Tracking terminals that are in the system now. So that's the dominant effect. On the other hand, one of the things in our favor is that the Blue Force Tracking network was really, really effective. And so we're sort of working with them to figure out what are the installation options that are available to get the units that they've already got deployed and then that would free up the pipeline for producing more. That's kind of what the main issue is right now.
Rick Baldridge: The other big down thing in the quarter that should just be one-time was we had won a $40 million, kind of $10 million a quarter bandwidth in a pretty low margin on that contract, and that ended last quarter. So that's $10 million down quarter-over-quarter. It was really just that bandwidth deal. We have an opportunity to go win that back.
Mark D. Dankberg: Yes. That bandwidth contract that we got was really sort of a -- it was a one-time opportunity that was really associated with the initial deployment of a network. Then they've evolved to a more standardized method of bandwidth procurement that we didn't -- we basically weren't a participant in the acquisition process for that. But since then, we are. So I think on a go-forward basis, we have an opportunity to compete for that.
Timothy J. Quillin - Stephens Inc., Research Division: And just in general, do you expect or do you believe you can grow Government in fiscal '15?
Rick Baldridge: Yes, we do, and even in -- with what's going on in Blue Force Tracking. But it's really going to be in the area that we talked about, that is Link 16, Information Assurance, more tactical satellite stuff and especially, this mobile broadband stuff. That's an area that's got a lot of upside.
Timothy J. Quillin - Stephens Inc., Research Division: And then on the aviation opportunity, given some entrenched supplier relationships in the U.S. market in what, at least theoretically, could be high switching costs, maybe even fighting some companies that offer more of a bundled entertainment option, are your opportunities more greenfield overseas or do you think you can just place incumbents, even those that might be offering broadband as part of a broader solution domestically?
Mark D. Dankberg: Kind of what we feel like -- that we're working and it's new stuff is what we think it is in the -- I'd say, up to now, there's been a perception that you need to have in-flight Wi-Fi on an airplane. Every airline wants to check the box. Yes, we want in-flight Wi-Fi, but that only a small fraction of the people are going to use it. And usage data pretty much for all the systems tends to hover on the average around 6% or 7%. And so pretty much, people have settled into that business model, which is "I got to have it," but the usage is not going to be high. And our view is that everybody wants to use it. There's just been friction at barriers to adoption. So going into service with JetBlue, pretty much validating the notion that lots of passengers want to use it. So now, the next step is, among all those other passengers that use it, does it have any impact on their airline preference over the long haul. And what we suspect is yes, if you have a lot more people using it and when we take some small numbers of those passengers to wiggle significant elements of value. So really, our focus is to find airlines that want to try that. And JetBlue's one of them, but there are others as well that like that same notion. I think that if that happens, and it turns out -- yes, people -- lots of people are going to use it and that they find it an important element of an overall experience, then I think yes, we'll have a shot to go back into the -- those airlines that already have something else, if that something else can't work with 50%, 60%, 70% passenger penetration.
Timothy J. Quillin - Stephens Inc., Research Division: Yes, fair enough. And then just a couple of detailed questions. Do you have the percent or the number of subscribers that are on ViaSat-1 at this point or at the end of the quarter? And then just to confirm, I think the churn rate, it looked like it was about 2.8%. Is that right?
Mark D. Dankberg: Okay. So out of the 620,000, we said we're sort of approaching 0.5 million on ViaSat-1, and that's kind of it. It's, let's say, in the 450,000 to 500,000 range certainly by now. It's probably -- that's kind of right. In terms of churn, I'm not -- I wouldn't -- we're not going to give a specific number. But it went down a notch, and we think that it's going to come down more as a result of the process improvements we're making.
Rick Baldridge: One of the issues, Tim, is we're giving a lot more detail than others are giving in that space. And as we introduce new products, those details are going to be actually less valuable. So we're trying to sort that out.
Operator: Then our last question is going to be from Chris Quilty with Raymond James.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Rich did all the long-form questions, so I'll try to run through a bunch of quickies, if I can. Just to clarify on the Blue Force Tracking services portion of the contract, is that done as of the most recent quarter or is there still a tail on that?
Mark D. Dankberg: No, that -- we had a specific 1-year contract which completed.
Chris Quilty - Raymond James & Associates, Inc., Research Division: And it was like $10 million a quarter flat?
Mark D. Dankberg: Yes.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Through the 4 quarters?
Mark D. Dankberg: Yes.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Perfect. And I guess for Shawn, it sounds like the JetBlue subs are going to show up in Satellite Services, and they'll turn up as a subscriber just like a terrestrial subscriber, but hopefully with a higher ARPU. Is that how we should be thinking about the accounting?
Mark D. Dankberg: No, it will show up in the Satellite Services segment, but we're not going to break out the -- what each of the sources are within the Satellite Services segment. It'll just be blended in.
Chris Quilty - Raymond James & Associates, Inc., Research Division: I know you don't break it out, here's our retail, wholesale and -- but will somebody on a JetBlue aircraft count as a sub?
Mark D. Dankberg: No, we will not include them in the subscriber count.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. So it's just going to count as incremental revenue coming in, which would have the effect of raising the overall ARPU?
Mark D. Dankberg: Right, and that's one of the things. I think there's a lot of focus on how many subscribers did we add each quarter, how does it compare to others. One of the things is -- well, part of it is we've been focused also on being able to add Satellite Services revenue in other ways. And what we're trying to do is give you a sense of -- on the one hand, if you look at the things that we sort of accomplished already, think of it like signing up 50,000 new subscribers. That's sort of the analogy. Think of it as, "Hey, we've got commitments from 50,000 new subscribers who aren't going to be on for just 1 year. They're going to be on for like 7 to 10 years steady, and they're going to be added over the course of about the next year." That was sort of the analogy we're trying to draw.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Got you. And this wasn't on my list of my questions, but since you brought it up, in the other revenue category, have you had any success with the live event, satellite, news gathering vans and those sort of professional markets?
Mark D. Dankberg: Yes, we have. That market is, I think it's a little bit like -- let me give you our thought process, a little bit like the Aero market. When you go in the Aero market, everybody says, "Okay. We're interested in your in-flight Wi-Fi, but our business model is that 6% or 7% of the people are going to use it. We've got to get revenue out of that. Give us a business model like that." And we're going to, "Wait a minute, this is different. There's a different way to do it." And it kind of took JetBlue to say, "Hey, we like this different model and we're going to go try it." We think that's really going to be disruptive and impactful. Some of our experience in these other -- in the other market has been a little bit along the same lines, which is -- some of the existing customers sort of view it as just same thing as Satellite News Gathering, and they actually operate in the same way with teleports and dedicated connections. Another way to look at it is, "Wow, this is pretty disruptive, and it lets you do things through the Internet with live video that you couldn't do before." And what I would say is we're getting some traction on that with some pretty big providers of both broadcast video and online streaming events as well. But we don't have anything -- we're working on it, we just don't have anything as concrete as we do in the Aero market yet, so we're not talking about it as much.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Got you. And speaking of Aero, you talked about Eutelsat and the Ka-SAT satellite. But if I remember correctly, you also had a contract working with Yahsat. So would that be a natural extension also?
Mark D. Dankberg: Yes. We did have a contract with Yahsat on ground infrastructure, and we had an agreement with them to help support roaming of our Aero platforms in their coverage area. And that is one of the companies that we're working with as well. We have platforms that are using Yahsat.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And Shawn, where is the litigation expense being expensed to, which of the segments?
Shawn Lynn Duffy: The Satellite Service segment.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. All of it in Satellite Services?
Shawn Lynn Duffy: Yes. Related to specifically the Loral litigation, yes.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And why are we not seeing more of the R&D ViaSat-2 related being capitalized? I mean, seems like that's still going up and I would think, based upon your build cycle, you would be able to just capitalize all of that.
Shawn Lynn Duffy: So I think probably, the easiest way to say it is just a complex analysis when you're looking at the efforts that you're doing. We do have certain of our developments that does get capitalized within cap software and there are other elements that don't qualify for capitalization.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Got you. And on the Exede, has the advertising and promotional expenses stayed relatively steady over the last several quarters? Or with the pruning of the sales agency relationships, have you been able to scale all that back?
Mark D. Dankberg: It fluctuates. And a lot of the reason it fluctuates is because we're measuring effectiveness of it under different circumstances. And so when we -- there are certain -- both times and markets where we find it to be really effective, and that's why we've been able to make these improvements in the -- in our cost per gross add. And one of the things that we're finding is we're finding certain formulas that will probably scale up. But I would say we're going to do it methodically mostly, trying to learn these things, so that we can scale up, especially when we get a lot more capacity and can come up with services that are more separated from other alternatives.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And final question here. Over halfway full on ViaSat-1, do you -- given the configuration of the beams and the limited amount of steerable beam capacity, is it possible in the next 2 years to 2.5 years, as we wait for ViaSat-2 to come online, that we're going to have to potentially -- I guess, this should be a high-class problem to have, but the shutdown marketing in certain geographical regions or is there enough flexibility to the satellite that you don't envision those problems that happened with the WildBlue satellite years and years ago?
Mark D. Dankberg: Yes. The -- so one of the fundamental issues with that, that sort of attributed to ViaSat-1 class of satellites is that the just the geographic distribution and capacity is, not completely, but is largely fixed, and you can't really make adjustments to that. That reflect differences in geographic demand on the ground. So basically, what that means is that any satellite operator is going to be faced with choices of either degrading a service or having this -- what you described as this high-class problem of having to limit subscriber additions. Our view is that we'd rather limit the subscriber additions and preserve the integrity of the service. So that's -- I would say it's beginning to happen. We're doing it, I'd say, in a more -- much more graceful way economically and in terms of our distribution channels than WildBlue's able to do before. The flip side though is, that problem that you described, which is matching satellite capacity to geographic demands, a really, really valuable problem, it's one of the things that we've been able to make a lot of progress on in ViaSat-2. So especially going forward, we'll have a lot more tools to deal with that issue.
Chris Quilty - Raymond James & Associates, Inc., Research Division: So it shouldn't be an issue, you wouldn't think, with ViaSat-2 both because of the flexibility of the platform, as well as you've now got a decade of experience on where the demand is, correct?
Mark D. Dankberg: Well, we've got -- there's 2 -- there's -- there again, it's sort of a multilayered problem because what you're going to find is, in some markets, there's just more demand than can be met by any single satellite, even with a lot of flexibility, because there's only so much spectrum you can put in a given geographic region. So you've got to deal with multiple layers of events. What you'd like to do though is come up with a total system solution that lets you fill sort of uniformly and doesn't leave any leftover capacity at any point in time. And ViaSat-2 isn't -- it's not the end-all and be-all for that, but it's a lot more capable than ViaSat-1 class. I think that's going to improve our economics substantially. And the cool thing is we've got more technology behind it that's even better. So that's -- those are the kinds of problems that we're investing in, in R&D. Okay. I think that completes our Q&A session and all of our content for this quarter. Thanks a lot, everybody, for dialing in, and we'll talk again next quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone, have a great evening.